Operator: Welcome to the FPL Group fourth quarter and full year 2009 earnings release conference call.  Today’s conference is being recorded.  At this time for opening remarks and introductions I would like to turn the call over to Ms. [Rebecca Keyaba].
[Rebecca Keyaba]: Welcome to our fourth quarter and full year 2009 earnings conference call.  Lew Hay, FPL Group Chairman and Chief Executive Officer will provide an overview of FPL Group’s performance and recent accomplishments.  Lew will be followed by Armando Pimental, our Chief Financial Officer who will discuss the specifics of our financial results.  Also joining us this morning are Jim Robo, President and Chief Operating Officer of FPL Group, Armando Olivera, President and Chief Executive Officer of Florida Power & Light and Mitch Davidson, President and Chief Executive Officer of NextEra Energy Resources. Following our prepared remarks our senior management team will be available to take your questions.  We will be making statements during this call that are forward-looking.  These statements are based on current expectations or assumptions that are subject to risks and uncertainties.  Certain key assumptions on which our financial outlook is based are highlighted in the appendix to the accompanying presentation. Actual results could differ materially from our forward-looking statements if any of these key assumptions are incorrect or because of other factors discussed today’s earnings news release, in the comments made during this conference call, in the risk factors section of the accompanying presentation or in our latest reports and filings with the Securities & Exchange Commission each of which can be found in the investors section of our website www.FPLGroup.com. We do not undertake any duty to update any forward-looking statements.  Please also note that today’s presentation includes references to adjusted earnings which is a non-GAAP financial measure.  You should refer to the information contained in the slides accompanying this presentation for definitional information and reconciliations of the non-GAAP measures to the closest GAAP financial measure.  Now, I’d like to turn the call over to Lew Hay.
Lewis Hay: I’m pleased to report that despite some significant challenges, FPL Group grew adjusted earnings per share by more than 5% in 2009 and continued its long streak of strong returns on equity by earning a 13.5% adjusted ROE.  At NextEra Energy Resources 2009 was another year of record adjusted earnings per share which grew by approximately 6% over 2008.  The key drivers were new wind projects and strong performance by our wholesale marketing and trading business and our Texas retail business. This strong economic performance occurred despite the extended outage at our Seabrook nuclear plant, a poor wind resource across our fleet of nearly 9,000 turbines and unfavorable market conditions in the Texas region.  At Florida Power & Light, full year earnings grew approximately 4% per share.  The principle drivers were favorable weather conditions during much of the year and the completion of two generating units at our West County Energy Center in Palm Beach County which allowed for a base rate adjustment under the generation base rate adjustment mechanism. These drivers were partially offset by the continuing effects of the fragile Florida economy including flat customer growth and weak underlying usage.  For the fourth quarter of 2009 FPL Group’s adjusted earnings were $323 million compared with $361 million in the prior year quarter.  As was the case for the full year, the most significant drivers were the outages at our Seabrook nuclear plant and an exceptional weak wind resources somewhat offset by higher than expected weather related usage in Florida. The outages at our Seabrook plant alone negatively affected earnings by $0.13.  In addition, we are continuing to experience an El Nino influenced weather pattern which we believe partially explains the reduction in short term wind resources across Texas and the Midwest.  Over the long term we remain confident in our wind resource projections.  Armando will discuss both the Seabrook outage and our wind resource analysis in more detail in a few moments. Although our 2009 adjusted earnings did not meet our original expectations we had a number of accomplishments during the year that should provide long term benefits to our stakeholders.  For example, our twin 1,220 megawatt combined cycle generating units at the West County Energy Center will increase the efficiency of FPL’s generation fleet, provide savings to customers through fuel cost reductions over the life of the projects and reduce emissions. In addition, with President Obama in attendance, FPL in October commissioned the Desoto Next Generation Solar Energy Center, the largest solar photovoltaic power plant in the United States.  Construction also began on FPL’s Martin and Space Coast Next Generation Solar Energy Centers which are slated to open this year.  As I think you know, FPL will recover the cost of these projects under a Florida Statute enacted to encourage renewable energy projects. Operationally, FPL’s fossil fuel fleet reached a record level of efficiency in 2009.  FPL’s investments in 2002 in cleaner, more efficient technology avoided approximately 4.9 million tons of carbon dioxide emissions in 2009 and saved customers an estimated $440 million in fuel costs during the year.  No less important are FPL’s efforts to prudently manage costs.  For all of 2009 FPL’s own O&M expenses were $1.42 per kilowatt hour.  For the industry as a whole, O&M expenses were $2.11 per kilowatt hour as of 2008, the most recent data available. FPL’s efficiency is matched by its reliability with the company system average interruption duration index is 47% better than the national average.  At NextEra Energy Resources, we added approximately 1,170 megawatts of wind capacity in North America in 2009.  We now own 7,540 megawatts of wind capacity in 17 states and Canada maintaining our position as North America’s wind energy leader.  To date, our total investment in wind is approximately $11 billion. In addition, you’ve heard me say before that we hope solar will be the next wind business at NextEra Energy Resources and that strategy has started to bear fruit in 2009.  In October we signed a large long term power purchase agreement with Pacific Gas & Electric Company for the sale of 250 megawatts of solar thermal power from our proposed Genesis Solar Energy project.  This plant would use the same basic technology that we have mastered at our existing solar arrays in California.   The Genesis project is expected to produce enough renewable electricity to power more than 80,000 homes while creating jobs and a positive economic impact for California’s Riverside County. Also during the year we completed a roughly 200 mile generation tie line linking some of our West Texas wind assets to the more favorable South Texas zone and we continued to prudently grow our wholesale marketing and trading business in conjunction with the growth of NextEra’s generation business. Lastly, we were able to finance the growth of our portfolio on a primarily non-recourse basis during the especially difficult financing environment that prevailed through much of the year.  It is a tribute to the quality of our deals that they were able to meet the market test for financiblity by a third part.  Overall, we raised approximately $1.1 billion in project financings during the last 12 or so months. Let me spend a moment on the outcome of our rate proceedings before the Florida Public Service Commission which as you know from my prior comments was extremely disappointing to us.  We’ll get in to some of the details of the Commission’s decision later on the call but as you know the decision caused us to suspend some of our larger capital expenditure projects pending further review.  As I said immediately after the commissioners concluded our rate case, historically Florida has enjoyed a constructive regulatory environment which has provided benefits to both customers and investors. This historically favorable environment has allowed us to invest billions of dollars to benefit FPL customer while having reasonable confidence that our investors would be allowed to earn fair returns.  While the proceedings of two weeks ago clearly indicate that this situation has changed, we need to be mindful that the poor economic climate in Florida has significantly impacted our customers and the political environment and this in turn affected our rate proceedings including the ultimate outcome. I remain optimistic that as our Florida economy improves and as we do a better job telling our story, the regulatory climate will improve.  Now, despite this setback I want to remind you that we continue to have certain attractive elements to our regulatory structure including clauses for fuel, energy efficiency and environmental costs.  We also have immediate increases to rates for our new solar power projects and our nuclear up rates and cost recovery for new nuclear development and licensing costs. Over the long term I continue to be optimistic about Florida’s prospects.  Our state has historically been one of the fastest growing in the nation with good weather, no state income taxes and affordable housing combined with the baby boomers starting to reach retirement age, we believe that Florida should return to strong growth.  Now, what I am most disappointed about our rate case is that the company with the lowest rates of the state’s 54 utilities, reliability that is 47% better than the national average and a power generation fleet that is among the cleanest and most efficient in the country, namely Florida Power & Light was granted the lowest ROE among Florida investor owned utilities in 2009.  This type of performance should be rewarded not penalized. My other big disappointment was not getting cost recovery for West County Unit Three which is expected to go in to service in mid 2011.  This plant represents an investment of $865 million for which we will get no return until we file another rate request either a limited scope rate case as suggested by one commissioner or a full fledge rate case such as the one we just completed.  Again, I don’t think this is good regulatory policy either as it will likely put a damper on future investments. Clearly, we need to do some things different in response to the PSC’s decision.  We’ve already announced that we’ve suspended for the time being our efforts on several large capital projects.  I want to emphasize the word suspend as opposed to the word cancel.  These are significant projects that we ultimately hope to build and operate but the decision to suspend them was made in response to the negative impact of the rate decision on FPL’s creditworthiness and its ability to attract capital at attractive rates. Obviously, preserving FPL’s credit rating is important for keeping customer rates low and for maintaining access to the capital markets.  Our efforts to offset the negative impact of the rate decision on FPL’s creditworthiness will necessarily involve reductions in capital spending, a point we repeatedly made throughout the period of the rate proceedings.  As a result, we are reviewing our entire capital expenditure program to determine what changes we should make to our current capital plans. In doing so we will carefully examine the impact of any potential changes on reserve margins, customer rates, reliability as well as the company’s creditworthiness.  Our review of major projects will also consider factors that may have changed since the original investment decisions were made including low growth estimates, fuel costs forecasts, demand side management requirements and environmental incentives. It is important to note that we are continuing to invest in Florida’s electrical infrastructure.  Last year our capital expenditures were $2.5 billion and this year despite suspending certain projects we are still expecting to invest $2.4 billion which is well in excess of FPL’s cash generation.  As one commissioner noted we are going to have to, and I quote “tighten our belt”.  This will be difficult that our O&M cost per kilowatt hour are already 33% below the industry’s 2008 average.  Anything we do has to pass the test of not affecting customer service, safety or reliability. Our last full fledge rate case was about 25 years ago.  I think it’s safe to say that we cannot go another 25 years without filing a rate case but we have not decided when we will do so again.  We also need to work on communicating our messages better and on being more in touch with all of our constituents in Florida.  There is a lot we can learn from this experience and I assure you we will.  We are currently undergoing a thorough review of FPL’s operations and capital plans including the suspended projects.  We intend to discuss these plans with investors and other constituents no later than the end of the second quarter. Finally, despite the setback at FPL we expect decent growth for FPL Group in 2010.  Armando will fill you in on the details when he discusses our updated guidance for 2010.  With that, I will turn the call over to Armando Pimentel before returning for a few final remarks.
Armando Pimental: In the fourth quarter of 2009 FPL Group’s GAAP net income results were $349 million or $0.85 per share compared to $408 million or $1.01 per share during the fourth quarter of 2008.  FPL Group’s adjusted 2009 fourth quarter earnings and EPS were $323 million and $0.79 respectively compared with $361 million or $0.90 per share in 2008. For the full year 2009 FPL Group’s GAAP net income results were $1.6 billion or $3.97 per share compared to $1.6 billion or $4.07 per share during 2008.  FPL Group’s adjusted 2009 earnings and EPS were $1.6 billion and $4.05 respectively compared to $1.5 billion or $3.84 per share in 2008.  The difference between the GAAP results and the adjusted results is the exclusion of the mark in our non qualifying hedge category and the exclusion of net other than temporary impairments or OTI. As you are well aware weather has an impact on many of our businesses and in 2009 its affect was significant.  The diversity of our company’s operations in terms of geography, fuel and other factors means that weather may have offsetting impacts across our portfolio as was somewhat the case in 2009.  This slide shows the fourth quarter and full year 2009 results of actual weather both compared to the prior periods and to normal.  In 2009 weather had a positive impact on Florida Power & Light’s results while having an overall negative impact on the portfolio of NextEra Energy Resources. In the fourth quarter alone weather compared to normal was $0.05 lower than expected.  While we do not expect the weather impacts always to have offsetting results, we do believe that we benefit from diversification and that generally the weather impact will be lower and less volatile on a net basis across the entire FPL Group portfolio. Florida Power & Light’s 2009 results were higher than we were expecting when we began the year although part of the improvement is due to favorable weather conditions.  Fourth quarter 2009 earnings at Florida Power & Light were $186 million, up 23% from $151 million a year ago.  The corresponding earnings per share contribution was $0.45 this year versus $0.38 in 2008.  Full year 2009 earnings were $831 million up 5% from $789 million a year ago.  The corresponding earnings per share contribution was $2.04 this year versus $1.96 per share in 2008.  Based on preliminary data, the 12 month average regulatory ROE ended December 2009 was 10.1%. Although we realized strong kilowatt hour sales growth in the fourth quarter, we caution investors that the underlying trends that drive our business remain weak.  As you know, we monitor a number of economic and usage indicators to gage the economic health of Florida in general and our customers in particular.  The table in the upper left shows the change in retail kilowatt hours sales versus last year’s comparable period.  Overall, retail kilowatt hour sales grew by 7.7% an improvement due solely to higher weather related usage.  Usage growth due to weather helped the quarterly earnings comparisons by approximately $0.10 per share.  For the full year, weather contributed $0.14 per share relative to the prior year. The right hand graph at the top shows sequential changes in our quarterly customer accounts.  Although there is a seasonal component to our customer base, this graph highlights that our customer count grew slightly in the quarter.  The graph in the bottom left hand corner of this page shows in active and low usage customers which we believe depict the level of empty homes in our service territory.  Since year end 2007 the number of inactive accounts has increased by about 68,000 to approximately 312,000 with most of that increase occurring in 2008. However, since the end of the third quarter both the number of inactive and number of low usage customers has declined for the first time since 2007.  The chart on the bottom right depicts a year-over-year change in housing starts for single family homes in FPL service territory.  Housing starts are a fairly good leading indicator of additions to our customer base roughly a year out. As we have discussed, much of Florida’s economic woes have been directly tied to the housing industry.  After a prolonged period of decline, by the end of 2009 we actually saw some growth in housing starts.  It is clearly too early to say that this is a long term trend but we are encouraged by the increase in activity over the last couple of months.  In sum, the general economic environment in Florida remains challenging and the outlook remains uncertain.  The 11.8% unemployment rate in December is the highest unemployment rate in Florida since May, 1975.  For comparison the Florida unemployment rate was 11.1% and 8.8% in January 2009. The table shown here summarizes the earnings drivers for Florida Power & Light for the just completed quarter as well as for the full year 2009.  In total, the quarterly comparison increased by $0.07 per share driven primarily by favorable weather conditions and the rate adjustment for west county units one and two.  These are partially offset by higher O&M and depreciation expenses.  Full year 2009 results were driven by favorable weather conditions and the addition of west county units one and two partially offset by lower underlying usage and higher O&M and depreciation expense. After a very length process, on January 13th the Florida Public Service Commission reached a decision on the revenue requirements portion of our rate increase request.  There were approximately 170 individual issues that the Commission had to decide but I will discuss only a handful of these with you today.  Our adjusted regulatory equity ratio which is 59% of total investor sources of capital including short and long term debt was approved by the Commission.  This is the actual amount of equity that we have in the business today and is what we requested in our filing.  The equity ratio when compared to all sources of regulatory capital including customer deposits and deferred taxes is 47%. The Commission authorized a regulatory return on equity of 10% plus or minus 100 basis points.  Importantly this also affects the return we earn on investments recovered through the environmental clause which is where our solar and investments to ensure compliance with environmental laws are recovered.  As part of our rate case it was determined that we have approximately $895 million of theoretical net depreciation surplus. FPL requested that this be amortized over the remaining lives of assets.  However, the Commission decided that we should amortize this amount to customers over the next four years.  This will reduce depreciation expense by approximately $224 million per year over that period.  Under our previous rate agreement we had been reducing depreciation expense by roughly $125 million per year.  Along with other changes to the depreciation parameters we expect base depreciation expense in 2010 to be $30 million to $45 million lower than in 2009. The Commission decided against a subsequent year revenue adjustment for 2011 and voted against the extension of the GBRA mechanism which would have allowed us to adjust base rates for the first year revenue requirements of West County three upon its expected completion in the summer of 2011.  In summary, the decisions resulted in additional revenue requirements attributable to base rates of $75 million on an annualized basis.  As such, we expect cash flow from operations in 2010 to be slightly higher than 2009 excluding the effects of the fuel clause. As Lew mentioned, there are many questions we need to address for the business on a go forward basis.  We are in the process of doing that and expect to further communicate our plans before the end of the second quarter. Let me now turn to NextEra Energy Resources where adjusted earnings per share were higher by approximately 6% for the full year driven by new wind additions and strong growth in our wholesale marketing and trading business.  Those earnings however were tempered by the extended outage at Seabrook station, poor wind resource across our wind fleet and unfavorable market conditions at our Texas fossil facilities. We finished 2009 with approximately 1,170 megawatts of new wind facilities.  During the fourth quarter we closed on our acquisition of 185 megawatts of recently completed wind projects from Babcock  & Brown for approximately $352 million.  For 2010 we are well hedged against the impacts of natural gas price movements and very significantly hedged against all other price movements including spark spreads. Roughly 96% of the equivalent gross margin we expect our existing asset portfolio to generate in 2010 is protected against commodity price volatility.  For 2011 the comparable figure is about 92%.  Regarding sensitivities the earnings sensitivity to changes in natural gas prices on our 2010 open positions is modest.  For ever $1.00 per mmbtu change in gas prices, the annualized impact is approximately $0.01 per share on an adjusted earnings basis at FPL Group.  For 2011 the equivalent adjusted earnings sensitivity is approximately $0.04 per share. As we have highlighted to you on many occasions a significant portion of our gross margin and earnings are generated by assets under long term contracts.  The weighted average remaining contract life of our non-wind assets that are under long term contracts is 15 years.  The comparable figure for the contracted wind assets is 17 years.  The remaining contract lives are weighted by the gross margin dollars expected over the remaining lives of the various contracts. For certain wind facilities we were eligible for and elected to receive production tax credits or PTCs for the first 10 years of the wind facilities lives.  We will begin to have an increasing amount of PTC expirations as we begin the 10 year anniversary of assets put in service as we ramped up our wind development program.  In 2010 we will have approximately $11 million left in equivalent gross margin relative to 2009 due to PTC expirations.  In 2011 and 2012 the comparable figures are $24 million and $60 million respectively. The appendix to this presentation contains both the typical information we provide to you regarding our hedging status as well as these new pieces of information. For the fourth quarter of 2009 NextEra Energy Resources GAAP earnings were $178 million or $0.43 per share compared with $265 million or $0.66 per share in the prior period results.  Adjusted earnings for the same period which exclude the effect of non-qualifying hedges and net OTTI were $152 million compared to $218 million.  The equivalent adjusted earnings per share contributions were $0.37 and $0.55 respectively. For the full year 2009 NextEra Energy Resources GAAP earnings were $849 million or $2.08 per share compared with $915 million or $2.27 per share in 2008.  Adjusted earnings which exclude the effect of non-qualifying hedges and net OTTI were $882 million compared to $821 million.  The equivalent adjusted earnings per share contributions were $2.16 and $2.04 per share respectively. NextEra Energy Resources fourth quarter adjusted EPS declined $0.18 from last year’s comparable quarter, a disappointing result relative to our expectations.  Although we realized strong contribution from our new assets, our retail business and our wholesale marketing and trading business performance from our existing assets was hindered by several factors including the planned and extended outage at the Seabrook nuclear facility and the poor wind resource across our fleet. New wind investments contributed $0.10 per share incrementally, approximately $0.08 per share of this $0.10 improvement can be attributed to our decision to elect convertible investment tax credits this year on 815 megawatts of wind build.  On its own, the outage at Seabrook reduced earnings by $0.13 per share as compared to the prior year.  $0.05 due to the planned refueling which we did not have in the comparable quarter last year and $0.08 due to the outage being extended. The poor wind resource across all geographies reduced results by $0.07 per share in the quarter and contributions from our Texas gas fired facilities feel $0.07 per share relative to a year ago.  Due to the significant impact on our earnings, we wanted to provide some additional detail on the Seabrook outage that occurred during the quarter.  In October, Seabrook was taken offline for a planned refueling outage after completing a record 511 day run of uninterrupted service.  One element of the outage involved the replacement of one low pressure rotor and the steam turbine with a new more efficient rotor. As the unit was ramping up to full power on November 14th a higher than expected vibration level was detected in the steam turbine and a unit’s electricity output was reduced to 65% to minimize the vibrations and allow for careful analysis of the problem.  On December 6th the plant was taken off line to implement the appropriate corrective measures and it was returned to service on December 24th.  The plant continues to operate today at full output and all indicators are within normal ranges. Safety is always our highest priority and at no time did the vibration level compromise nuclear safety. The wind resource in the fourth quarter was well below normal impacting the existing assets results by roughly $0.07 per share as compared to the year ago period.  For the year, poor wind resource has reduced per share results relative to the prior year by approximately $0.15.  Wholesale marketing and trading activities increased by $0.09 per share as market conditions were beneficial to this business.  As we’ve indicated before quarterly results from this segment will often be higher or lower than we expect based on a number of factors including market volatility and opportunities. All other factors netted to a loss of $0.04.  Of this, $0.01 is attributable to higher interest expense, corporate G&A and taxes are $0.01 and shared dilution and rounding are $0.01 each.  For the full year 2009 adjusted earnings per share grew over 6% driven by new wind additions and strong growth in our retail and wholesale power and marketing trading business offset by poor wind resource, the outage at Seabrook and adverse market conditions across our merchant fleet. New wind additions attributed $0.42 which includes $0.22 of earnings related to our election to receive convertible investment tax credits on $815 megawatts.  From a cash perspective, these convertible investment tax credits totaled $470 million or which we have already received $100 million in cash in 2009 and expect to receive the balance in the first quarter of 2010.  For the full year the contribution from existing wind assets declined $0.19 most of which was due to the poor wind resource. Remembering that we manage our Texas business as a portfolio, our Texas merchant gas facilities were negatively impacted by $0.20 compared to the prior year due to poor market conditions while our retail supply business was up $0.10 due to lower energy supply costs.  Approximately 90% of retail energy business’s gross margin is generated in Texas.  Remember that for purposes of this slide our retail business is part of existing assets. For the year, the merchant northeast assets were down $0.03 due largely to unfavorable market conditions for the gas and hydro assets and the outages at Seabrook in the fourth quarter offset partially by the lack of a refueling outage at Seabrook in the first quarter an favorable pricing at Seabrook.  Wholesale marketing and trading contributed an additional $0.19.  We will provide some additional color on the breakdown on all of our supply related and non-asset based businesses later in my remarks.  The other category includes the impact of higher interest expense, corporate G&A, rounding differences and share dilution. As we anticipated on our third quarter conference call the wind resource was particular poor during the fourth quarter and indeed this entire year.  To put it in perspective, based on actual wind speed observations at public meteorological towers, near our projects, this quarter was the worst quarter and this year the worst year over the last 30 years.  On this slide we show both the fourth quarter and full year 2009 average historical wind speeds from 24 meteorological towers we believe are most geographically relevant to our various wind facilities. The raw data used to build this index is publically available via NOAA’s website for a nominal annual fee.  We weight these values by our estimate of the long term average megawatt hour production to calculate a composite value for the portfolio.  This wind speed index is intended to reflect the most basic component of the wind resources.  It is simply an indication of how fast the wind was blowing at the meteorological measurement towers at specific points in time.  This index is different from the wind energy index which we have shown you in the past and which hear we have not made any adjustments to the data such as incorporating adjustments for the higher turbine heights and running these adjusted wind speeds through turbine specific power curves. Before you attempt to model the wind resource yourselves, we would like to caution you that while we believe the wind speeds at these towers can give you a good general sense of the wind resource, they do not give you the entire picture of what drives our wind fleet’s performance.  The bottom two graphs of this slide show you the regional wind speed index and the actual wind performance of our wind projects in Texas and the Midwest.  These wind speed indices are 93% and 75% correlated with the actual wind performance in Texas and the Midwest respectively over the last two years. The aspects of the wind resource that are not captured by the simple measure of wind speeds at the public towers include the fact that the government owned towers are generally 10 to 50 miles from our wind facilities.  The towers are often at 10 meters whereas our wind turbines are primarily at 50 to 80 meters and the data are typically hourly average measurements that do not reflect the actual distribution of wind speeds overtime.  However, we thought it was important to give you an unbiased view of the wind resource from towers that we do not own or manage. On the third quarter call we indicated to you that we believe there is a correlation between El Nino weather patterns and a poor wind resource particularly across Texas and the Midwest where many of our wind investments are located.  The El Nino affect was particularly strong during the fourth quarter and we believe this event explains some of the poor wind resource that we experienced.  The US National Weather Service’s climate prediction center is forecasting that El Nino has reached its peak and will continue to be in effect in to the second quarter. Although the El Nino weather pattern is expected to moderate over time its strength and duration have been difficult to predict.  To be clear though, it is not possible for us to say how much the El Nino pattern directly affects wind results although we can see evidence of its effect.  Looking back we can tell you that approximately 40% of the days in which the wind resource was poor during the fourth quarter, the dominate whether pattern across Texas and the Midwest regions was consistent with El Nino. For our forecasting purposes we assume we will experience normal weather.  As I noted at the beginning of my remarks, weather can have a positive or negative impact on individual components of our business and I noted that across our portfolio the various impacts may offset one another.  For your reference, we estimate that based on the wind turbines we have in service, as of December 31, 2009 each 1% change in annual production equates to approximately a $0.02 impact to our adjusted earnings at FPL Group. During 2009 I indicated that we would be providing further details on the relative contributions from both our supply related businesses and our non-asset based businesses.  As we have noted to you in the past, our supply related businesses include our full requirements and retail supply business.  Our non-asset based category includes power and gas marketing and trading operations. Also, as we noted in the first quarter our expectations has been that we plan to grow these businesses generally in line with the gross margin growth of the rest of NextEra Energy Resources and that in aggregate they have represented approximately 5% to 8% of the total gross margin of NextEra Energy Resources since late 2006 which is when we first started presenting the gross margin information in this fashion.  We indicated to you in the third quarter that the businesses were growing a bit more this year due to the favorable market conditions. Today we would like to provide some detail on the performance of both the supply related and non-asset based businesses on a gross margin basis.  For the full year 2009 full requirements contributed $74 million and our retail operations contributed $132 million in gross margin.  Remember that the full requirements and retail operations serve in part as a hedge of our assets.  In 2009 we hedged approximately 3.2 million megawatt hours of full requirements and retail load with energy and or basis from our portfolio of merchant generation assets. Additionally, as I mentioned earlier in my comments, the results of our Texas portfolio are an example of the benefits of having these complementary businesses.  During 2009 the prevailing market conditions that reduced the earnings contribution from our merchant Texas gas assets benefitted our Texas retail supply business.  Power and gas marketing and trading contributed $205 million in gross margins.  None of these gross margin numbers include G&A, interest or other corporate charges that these businesses need to operate and inclusion of these charges would of course temper the results of these businesses to an extent. We wanted to give you a view based on gross margin information since that is what we have previously provided.  We have also provided the comparable gross margin contribution for the businesses for 2008.  You will notice on 2010 and 2011 slides located in the appendix of this presentation that we have included gross margin detail for both a supply related and non-asset based businesses.  Providing further detail on these businesses will be something we plan to continue to work on during 2010. To summarize 2009 fourth quarter results on an adjusted basis, FPL contributed $0.45, NextEra Energy Resources contributed $0.37 and corporate and other was -$0.03 contribution.  That’s a total of $0.79 per share compared to $0.90 per share in the 2008 fourth quarter or a 12% decrease year-over-year.  On an adjusted basis for the full year 2009 FPL contributed $2.04, NextEra Energy Resources contributed $2.16 and corporate and other was a -$0.15 contribution.  That is a total of $4.05 per share compared to $3.84 per share in 2008 or a 5% increase year-over-year. For 2010 we believe that adjusted EPS expectations within a range of $4.25 and $4.65 are reasonable expectations.  We are not providing earnings expectations beyond 2010 at this point although we are currently planning on providing longer term earnings expectations at our investor meeting in May. During the 2009 second quarter call I mentioned that we were starting to see a slowdown in counterparties willingness to contract for long term wind power.  At the same time we reduced wind build expectations for 2009 and the next several years.  In addition, during the third quarter I indicated that we had seen some pickup in activity in signing wind PPAs for our developed projects.  I think it is fair to say that we had a very successful year negotiating and signing wind purchase power agreements signing over 750 megawatts of long term power purchase agreements during 2009 with an additional 300 to 400 of 2009 megawatts in advanced stages of negotiation. That said, the goal of adding a minimum of 1,000 megawatts of new wind with power purchase agreements over each of the next several years is not a slam dunk.  The combination of lower power prices primarily as a result of the economic downturn coupled with continued uncertainty regarding federal climate or renewal portfolio standards is clearly adding to the industry’s developing challenges. We continue to see increased activity in the market for wind properties owned by distressed sellers when compared to six to nine months ago.  We continue to be active on this front and are looking at a number of assets we believe would fit nicely in our portfolio.  Although there’s no assurance that any assets will be acquired we are looking at several opportunities that will supplement the 1,000 megawatts of wind that we are expecting to add this year.  As I have indicated before, we will have more to say about our long term development plans for wind and other activities at our investor conference in May. Let me spend just a couple of minutes discussing our capital structure.  Earlier this month, as a result of the FPL rate case, the three debt rating agencies placed the debt of both FPL and FPL Group capital on negative watch signaling their intent to review the credit of the companies within the next 60 to 90 days.  We have previously indicated to you and to both debt and equity investors that we believe the strong capital position was important to our business model and we continue to believe that today. Over the last year or so we have issued common stock through our at the market program totaling $160 million and plan to issue another $240 million through that same program this year subject to marketing conditions we view as acceptable.  This would fulfill our goal of issuing $400 million of equity through this program in 2009 and 2010.  This of course does not take in to account the ongoing issuance of common stock associated with our dividend reinvestment and employee programs which add roughly $40 million a year of issuance to those numbers. Also during 2009 we entered in to a contract to issue $350 million in equity in 2012 although essentially locking in the price of that issuance in 2009.  We certainly understand that the outcome of the Florida rate case has caused some anxiety regarding the Florida regulatory and political environment.  We cannot predict how soon this environment will improve.  We also cannot predict what future actions each of the credit rating agencies will take on our debt ratings. However, our current and expected overall credit metrics remain strong.  Additionally, we believe maintaining a strong balance sheet is in the long term interest of our investors and our customers.  We also believe that we can sustain our strong capital position while continuing to prudently invest in appealing opportunities that provide attractive returns to our shareholders. With that, let me now turn the call back over to Lew for some concluding remarks.
Lewis Hay: Even though we faced some unexpected challenges in 2009 we had a solid year overall which is a testament to the strategy we’ve adopted at FPL Group.  On a one year basis we delivered a total return to our shareholders of 9% which lagged the 26% return by the S&P 500 index but exceeded the 3% return by the S&P electric utilities index. Over the longer term, shareholders have been handsomely rewarded by FPL Group’s strategy.  In the past five years our 66% return easily outpaced the 37% return for the electric utilities index and the 2% return of the S&P 500.  Over the 10 years our 253% return towered over the 134% return by the electric utilities index and the -9% return by the S&P 500.  We’re proud of the returns we have delivered to you over the past 10 years and you have our commitment that we will work hard to make the next 10 years just as rewarding. What is consistent across both of our main businesses is a strong commitment to operational excellence, financial strength, financial discipline and being a leading player in building the leading clean energy company of the future.  The focus on these areas have served us well in the past and I am confident it will do so as well in the future. Let me close by extending a special thanks to the 15,000 employees of FPL Group who made 2009 a solid year.  I have never worked with a more talented and committed team.  With that, I’ll turn the call over to the conference moderator for questions.
Operator: (Operator Instructions)  Your first question comes from Daniel Eggers – Credit Suisse.
Daniel Eggers: I don’t know if I am ahead of the May analyst day too much but you’ve kind of given the challenges of the Florida economy seem to be the impediment of the Florida rate case outcome.  Do you guys think you can file a rate case before you start to see real visible signs that the Florida economy is getting better by way of housing and unemployment before putting the case up again?
Armando Pimental: Lew addressed that in the opening remarks, I think his quote was it’s been 25 years since our last rate case and it certainly won’t be another 25 years until our next one.  But, that is getting a little bit ahead of really our planning at this point.  We spent a lot of time in the last couple of weeks really digesting the decisions that were reached by the Commission and also trying to understand what our plans should be this year and for next year.  But, I think any comments from us at this point that would target any specific rate case filing or any specific factors that we would like to see before making a filing, I think it is just too early.
Daniel Eggers: Let me just turn to wind then, as you look out to 2010 and some of the difficulties or more challenging environment to sign PPAs, with the convertible ITC out there, how much wind do you need under contract of the 1,000 megawatts to move forward relative to building kind of merchant or spot winds for this year?  And, how will that affect your thought process for ’11 and ’12 as you try and get in queue for convertible ITCs after the 2010 expiration date?
Armando Pimental: First, I’d say it is more subjective rather than objective when we make a determination of how much visibility we need in to power purchase agreements for the year before we decide to move forward.  But we clearly, even today, we have pretty good visibility in to the types of power purchase contracts and the terms of those power purchase contracts that we can sign in 2010.  That’s one of the things that we look at before we sit here in front of you and say that we still feel comfortable with the roughly 1,000 megawatts of wind in 2010. That could change, clearly it could change but we feel comfortable based on the number of projects that we have and the visibility that we have in to PPAs.  But you also inserted convertible ITC in to that.  I did go in to some detail either last quarter or the quarter before as to how we look at convertible ITCs.  It’s not 10 projects, each of 100 megawatts that we have on the list and say these are absolutely the 10 projects that we’re going to build and because it’s only these 10 we have a pretty good indication of which ones we’re going to take convertible ITC on.  Because obviously you have the wind resource information, you’ve run the economics and so on. Project shift, if ever so slightly and ones that you believed at the beginning of the year that you had good visibility to build this year may actually fall off the list for a number of factors.  But, right now our plan for 2010 is to take the convertible ITC on approximately 800 of the 1,000 megawatts that we think we would build.  For 2011 and 2012, the rules as we understand them and we have certainly had plenty of discussions with others that are in a better position to understand them to us, i.e. the ones that write them, we believe that we will have projects that are in construction at the end of 2010 that will get built in 2011 and 2012.  It’s a little early for us to say at this point how many of those projects we believe will qualify for the convertible investment tax credit but we believe it is going to be more than a small amount.
Operator: Your next question comes from Jonathan Arnold – Deutsche Bank Securities.
Jonathan Arnold: I had a quick question on you gave us this schedule on the amount of PTCs rolling off in ’10, ’11 and ’12 on a rising scale, can you give us some insight Armando to at what point does it stop going up and where you’ll not have pressure from that?  I’m guessing it probably goes up again for another couple of years beyond ’12?
Armando Pimental: Jonathan I don’t have that information in front of me.  It’s a good question and I’ll go ahead and make a comment or a joke here.  It’s one of the things that always concerns me with providing new information and that is there’s never a period after it there’s always a what else can you give me.  I’m not chastising you or anything.  This is about all we’re going to do right now.  One of my goals for 2010 is to provide a little more transparency in to some of the items that investors and analysts have brought up in the past.  That includes our wind business, I’ve gotten a lot of questions about contract lives, I’ve also got a lot of questions about PTC expiration so those are in here.  In addition, about the breakdown of our non-asset based businesses.  So we’re doing that also in the first quarter.  But, I don’t expect at this point to provide longer term PTC expirations this year.
Lewis Hay: I might add though that the net effect of all of that is very much a function of what happens with legislation.  If we have legislation extending PTCs but not including the equivalent of the convertible ITC, the pattern looks one way but if it’s the opposite of that, or we continue to have the CITC it looks very different.  So a lot of it is a function of what happens in Congress.
Jonathan Arnold: Again, we appreciate the additional disclosure on the contract lives around the portfolio, we noticed on 2011 the contracted other line had sort of dropped or rather the equivalent gross margin number similar amount hedged but it dropped to 2% to 3% in terms of the actual margin.  What’s driving that change in that line where you’re showing us the 14 year contract life?
Armando Pimental: I think your question is, just to make sure I have the right question, you’re looking at the contracted other line and you’re looking at 2011 and you’re asking about the 95% and 93%?
Jonathan Arnold: No, more of why the gross margin on ’11 is down the best part of $30 million versus when you first disclosed it?
Armando Pimental: It’s our contract related to Point Beach.  Jonathan, it’s a good question, I don’t have all of the details in front of me.  I believe it’s related to Point Beach but I don’t want to guess at this point.
James L. Robo: You’re looking at the contracted other line and its actually up ’11 versus 2010, at least as I look at it.
Jonathan Arnold: I’m talking ’11 versus the last time you disclosed ’11.
Armando Pimental: That is solely associated with a Point Beach outage in 2011 and that’s about $21 million of that number Jonathan.
Lewis Hay: I’ll add that that is an extended outage as part of our long term plans to do up rates at Point Beach so that’s one that has a great payoff for investors.
Jonathan Arnold: So you got better line of sight on that asset since two months ago?
Lewis Hay: We actually shifted portions of the outage from 2010 to 2011.
Armando Pimental: Just to finalize that now that I understand what the question is, there’s actually an addition, it’s just not as much but there is an addition to the gross margin number for 2010 as a result of what Lew just said, it’s an outage shifting from ’10 to ’11.
Operator: Your next question comes from Steven Fleishman – Bank of America Merrill Lynch.
Steven Fleishman: A couple of questions, probably none that you’ll want to answer right now but just first I was curious for the 2010 earnings guidance range what range of ROE is Florida Power & Light expected to actually earn?
Armando Pimental: That’s not a question that we can answer at this time Steve and it is primarily as a result of the fact that we need to see the final rate order which will not be about for a while to understand how some of the items that were discussed and exhibits that were reached exactly how those will be handled in terms of regulatory ROE.
Steven Fleishman: Secondly, on the non-asset based businesses I appreciate the additional disclosure there but maybe in the context of looking at 2009 actuals, is there a way to give a sense of in the year that passed you show the gross margin, what that was to the bottom line of the company?
Armando Pimental: There obviously certainly is and you’d expect us to know that.  We looked at a couple of ways to show this information Steve and one of the ways that we could have shown the information would have been on an EBIT or EBTIDA basis, certainly on an earnings basis.  I actually felt uncomfortable with making a change to gross margin information that you had seen in the past.  I wanted to be somewhat consistent, I didn’t want anyone to believe that we were kind of shifting the information because we wanted to highlight something differently so that’s why we presented in on the gross margin basis. The issue with presenting it on an earnings or EBIT basis at this point is we really haven’t presented the rest of the portfolio for quite some time on an EBIT or EBITDA basis and I don’t want to start presenting part of the portfolio on an EBIT or EBITDA basis and part of the portfolio on a gross margin basis.  It is, as I indicated, one of the goals for this year is to provide a little more transparency on the things you and others have asked for.  We may eventually get there this year to providing more of a net number for these businesses but for right now, we thought the appropriate step would be just give our investors and analysts details of what we have previously provided.  I certainly didn’t want to be accused of providing different information that couldn’t be reconciled to the past.
Steven Fleishman: One last thing on the PTC information that you gave, just to clarify, is the numbers that you gave incremental to the year before or are they cumulative?
Armando Pimental: They are cumulative.
Steven Fleishman: Okay so for example, these $60 million in 2012 that would just be a $36 million reduction versus 2011?
Armando Pimental: Yes.
Operator: Your next question comes from Leslie Rich – Columbia Management.
Leslie Rich: On the $0.32 in the quarter from existing assets that was down, could you please walk through again what that was attributable to?  How much was Seabrook, how much was Texas?  Because the numbers I jotted down don’t add up which is my mistake but I just wanted clarification.
Armando Pimental: Leslie, it may not add up because I gave the big drivers of the $0.32 but I don’t think I gave all of the drivers to the $0.32.  I’d rather get to your next question because we’re going to post the script with all the details here momentarily and you will absolutely see the breakdown.  If you want me to go through it fine, but I’d rather get to your other questions than go through that detail.
Operator: Your next question comes from Paul Patterson – Glenrock Associates.
Paul Patterson: I was wondering if you could give us a feeling for the commitment I guess for lack of a better word to the non-regulated credit rating?  I mean it is superior to a lot of your competitors on the non-regulated side but on the other hand – I’m just wondering how you look at it strategically going forward here given what Moody’s has said recently?
Armando Pimental: I guess I’ll make a couple of points there.  I mean, you’re right it is different than what some people believe our competitors are but as I have tried to indicate over and over again to both equity and debt investors, it’s really a different business from most folks that are out there, whoever might be on that competitor list and NextEra Energy Resources has a business that is largely contracted for several years out with long term contracts with investment grade counterparties and it is also a business that we’re growing and we indicated we would continue to grow that business prudently.  We would continue to grow that business when we felt comfortable that the revenue stream i.e. the PTA or other mechanism we felt comfortable with.  We were not going to be building merchant assets and we haven’t built merchant assets. So I just want to clarify that first because I want to make sure when we get lumped with others that we all sit back and recognize that it really is a truly unique business.  On what I thought was your primary point, how important is that to us and to the business.  Lew mentioned it, I mentioned it a couple of times, sitting there reading the script again I almost thought to myself the third time that I said it that, “Geeze wiz maybe we said it too much.”  But, a strong financial position at both companies we believe is in the long term interest of our investors. Having said that, if you look at the credit metrics that we have compared to others in the industry our credit metrics in and of themselves are very strong.  It is something that we have focused on for a very long period of time certainly even before I was here.  Our credit metrics are improving year-over-year and as I also indicated last year if we were to go ahead with our plans for the next four to five years that would mean some equity issuances in the future.  We did that last year with our equity at the market program. I indicated just a couple of minutes ago that we were going to continue the at the market program this year to the tune of about $240 million so I don’t want anybody to think that it’s not important to us.  It clearly is important to us but, we’re already a pretty strong company and we’re truly unique.
Paul Patterson: I’m just wondering though with Moody’s statement about a multi notch downgrade at the non-reg whether or not we might see you step up that equity other than the $240 that you’re mentioning?  I mean, do you think you might bring some of that forward or do you feel that your credit metrics is strong enough as it is and you position within the industry is strong enough as it is that that really isn’t warranted even if you do have to get a multi notch downgrade?
Armando Pimental: When I read the Moody’s information, what clearly comes across to me is their concern over the Florida regulatory environment.  That is clear among the three rating agencies that that was the driver for the actions that they’ve all taken.  Now, Moody’s goes an additional step and indicates whether if there is a downgrade whether in fact the unregulated side whether you have to bring that down a notch from the FPL Group or the holding company side and the Florida Power & Light company side.  I can’t predict exactly what Moody’s is going to do. But I also want to make clear our credit rating is important to us and we’ve spoken to all of the agencies but none of the agencies that I know of have indicated that we have a problem with our metrics.  When you’re talking about additional equity, when you’re talking about other changes to your capital structure you’re generally talking about those situations where you really need to improve your metrics and we may but, that’s not the primary point of either Moody’s write up or the other two agencies write up.
Paul Patterson: Then the supply business it seems that you guys are predicting it to go down in 2010 versus 2009 I think from a gross margin perspective?
Armando Pimental: I think it’s flat isn’t it?
Paul Patterson: I think it’s 175 at the top end of the range and you guys did 200?
Armando Pimental: I’m sorry, [Jexsa] had a great year this past year.  One of the reasons it had a great year was because it didn’t have to actually pay a lot of ancillary fees to generators like [Lamar & Forney] so [Lamar & Forney] didn’t have a very good year and [Jexsa] really had a decent year so our expectations for next year is that will balance out a little more.
Operator: Your next question comes from Hugh Wynne – Sanford Bernstein.
Hugh Wynne: I appreciate that you guys are considering your options on the regulatory front and therefore are not in a position to talk about regulatory strategy but I was wondering if you might add a little bit of color on the factors that are being weighed and that decision making process?  In particular I’m a little surprised at your caution, it would seem to me if you’ve just come out of a decision where you end up with the lowest rates in the state, the lowest ROE in the state that the Commission had denied recovery of major investments that will be coming online this year that it’s difficult to see the downside to filing again. How could a new rate case make things worse?  Then on the other hand the prospect of continuing to invest in the unavoidable expansion of rate base without relief seems a fairly dreary prospect.  So can you talk a little about what’s going in to the decision making process regarding your regulatory strategy?
Armando Pimental: Look, those are all good questions and great observations and those are the things that we’re talking about right now but it’s a little early for us to come out this week and say we have a three step plan and these are the plans and we’re going to file a rate case next month.  I think everybody kind of understands and maybe not everyone is going out and saying exactly what you are saying but everybody understands that we’ve got some significant decisions that we need to make. Lew expressed clearly his disappointment in the outcome including not getting any revenue requirements for West County Three in 2011 but even today our rate case isn’t completely done.  I mean rates have to be set later on the in the week and it’s just too early for us to give you and the rest of our investors those answers.  We’re working on them, we believe that by the end of the second quarter we’ll be able to come out with a package of answers and strategy that makes sense and that we would have the support of investors.  But, for us to say anything else at this point is really premature.
Hugh Wynne: Can you provide any guidance as to the expected level of megawatt hour sales at Florida Power & Light in 2010 given what you saw in the fourth quarter and the first months of this year?
Lewis Hay: Hugh, I’m not going to add much probably that is going to help you with this but as Armando said, the proceedings aren’t even over yet.  We haven’t even seen a written order.  There’s a lot of variables.  I think earlier on the call somebody mentioned the economy, clearly that’s a factor, I mentioned in my comments a comment by one of the commissioners but another comment by one of the commissioners was, “Well you can always come back with a limited scope hearing.”  We have to understand really the pros and cons of a limited scope versus a full fledge rate case. We are in the midst of really reassessing our investments like I mentioned to you before so that definitely plays in to things.  Then, it’s not lost on us that this is an election year and so I won’t say anything more than that but there’s a whole host of variables that have to get baked in to this.  But, as I said we sure aren’t going to be taking another 25 years to put forth a full fledge rate case.  So, just stayed tuned, we will get answers for all of you on this very important question as soon as we possibly can.
Operator: Your last question comes from [Edward Hines – Catapult].
[Edward Hines: I wanted to just talk to you briefly about the treatment from the Florida Public Utility Commission.  I think there’s been a lot of concern over the last couple of months and while that concern seemed warranted it doesn’t appear to be much to do about nothing, there’s little impact to your financial profitability, you only trimmed your guidance by about $0.20 and you also insinuated that you may not even be going in for a rate case very soon.  Can you kind of talk about what the driver to this financial resilience is?  Is it cost cutting, is your growth forecast coming up, is it something else that is offsetting kind of negative rate order relative to your expectations?
Armando Pimental: I’m glad that you’ve got some positive comments.  I don’t know that it’s much to do about nothing.  When we say we’re disappointed in the outcome, we are.  When we first gave guidance in the fourth quarter on 2010 we gave a fairly wide range to that guidance.  So we’re bringing down the top by $0.20.  I can’t talk about our plans for O&M at this point those are preliminary they’re not finalized but I’d say that the continued growth of NextEra is certainly helping us from 2009 and from 2010. I’d also say that as Lew mentioned and as I showed in the FPL breakdown of earnings the revenue adjustments that we got on West County One and West County Two in 2009 are certainly helpful.  Then there’s other revenue outside of retail rates, this was a retail rate case in Florida that are helpful to the Florida Power & Light story.  So overall I don’t know whether it’s much to do about nothing, it’s a huge disappointment on the FPL side. But last quarter at this time or late October when we were telling you what we thought our 2010 range was I think we did a pretty decent job of looking out to the future and trying to predict what different outcomes were or would be.
[Edward Hines: So when you revised your range in the third quarter you had at least anticipated this kind of worst case scenario in some way in giving your guidance range in the third quarter?
Armando Pimental: To some extent we had.  I think it would behoove us to understand all of the ranges.  Having said that there are other positive factors that have happened since then that we weren’t looking at back at the end of the third quarter.  FPL did have in the first month of this year already some pretty favorable weather.  So all things have to kind of balance themselves out.  I don’t know if I could say anything else than that.
Operator: That concludes the question and answer session.  I will now turn the call back over to your host for closing remarks.
[Rebecca Keyaba]: Thank you very much everyone for joining us on the call and we look forward to talking with you again soon.
Operator: That concludes today’s call.  We thank you for your participation.